Operator: Good day, and thank you for standby. Welcome to the Intapp Fiscal Second Quarter 2023 Webcast. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, David Trone, Senior Vice President, Investor Relations. Please go ahead.
David Trone: Thank you. Welcome to Intapp's fiscal second quarter 2023 financial results. On the call with me today are John Hall, Chairman and CEO of Intapp; and Steve Robertson, Chief Financial Officer. During the course of this conference call, we may make forward-looking statements regarding trends, strategies and the anticipated performance of our business, including guidance provided for our fiscal third quarter and full year 2023. These forward-looking statements are based on management's current views and expectations entail certain assumptions made as of today's date, and are subject to various risks and uncertainties, including those described in our SEC filings and other publicly available documents that are difficult to predict and could cause actual results to differ materially from those expressed or implied by such forward-looking statements. Intapp disclaims any obligation to update or revise any forward-looking statements, except as required by law. Further on today's call, we will also discuss certain non-GAAP metrics that we believe aid in the understanding of our financial results. A reconciliation to comparable GAAP metrics can be found in today's earnings release, which is available on our website and as an exhibit to Form 8-K furnished with the SEC prior to this call. With that, I'll hand the conversation over to John.
John Hall: Thank you, David. Good afternoon, everyone. Thank you for being here with us today as we share our results for our second fiscal quarter. I'm pleased to share that once again we've achieved strong quarterly results supported by cloud ARR growth, SaaS and support revenue growth, the acquisition of new logos and the continued growth of our existing client accounts. As an intro for any of you who may be new to our story. Intapp targets and underserved and overlooked, but actually very large $3 trillion industry of professional and financial services firms. Professionals in these firms are the investors and advisors who work in the world's private capital investing, investment banking, legal, accounting and consulting firms. These professionals work in specialist and cross specialty teams every day to support the global industry of deals and disputes. Most of our target firms are originally fed up as partnerships, not corporations. As a result, they operate both internally and in their go-to market model very differently from traditional corporations and on top of this, our target firms are a highly regulated industry and needs to manage a wide range of statutory professional ethics and client compliance obligations that are unique to them. Intapp industry cloud has been designed specifically for the unique operating and compliance needs of these firms. We are highly differentiated from traditional CRM and ERP systems which were built for companies selling a tangible product. In contrast, our industry cloud understands that our clients firms business is based on leveraging their collective specialized knowledge, expertise, experience and relationships to win business and to deliver value for their clients and investors. Our industry cloud helps these firms to increase their revenues and returns, operate more efficiently and profitably, manage risk and compliance more effectively and leverage their collective knowledge for competitive advantage. Intapp is leading cloud transformation for this global deal making, legal, and advisory industry and our strong Q2 results continue to validate our strategy. Okay. Here's how we did. In our second quarter, our cloud ARR grew 42% to $191.8 million. Cloud now represents 64% of our total ARR of $301.3 million which is up 26% year-over-year. We earned second quarter SaaS and support revenue of $61.6 million, up 31% year-over-year and total revenue of $84.7 million, also up 31% year-over-year. We now serve more than 2,200 premier firms across our target verticals. Despite the current climate of broader economic concerns, we continue to see steady demand for our purpose-built solutions in our Q2 results. We gained some direct insight into what's driving this steady demand at our two day Intapp City Tour event in New York in November. Our event was attended by clients from our private capital, investment banking, legal accounting and consulting firms, as well as our partners and industry experts. Participants had a chance to share and learn from each other about the challenges, opportunities and initiatives that each of their firms is pursuing. Presenters included keynote speaker Luke Flemmer, Managing Director at Goldman Sachs; Ian Clark, Managing Director and Global Chief Technology Officer at Lazard; Angie Goenaga, Senior Investment Associate at Women's World Banking; and Jamie Fowler, Chief Transformation Officer at Grant Thornton, who shared their experiences creating efficiencies within their complex organizations, operating successfully and they're highly regulated industry and winning business by leveraging their knowledge, intellectual capital and relationships for competitive advantage Many of our attending clients shared, but they do not anticipate. Their digital transformation initiatives slowing down even while facing an economic downturn. Instead, they see the increased capabilities and efficiency provided by the adoption of cloud technology as essential to enabling their firms to weather any challenging economic conditions. The event also included a dedicated daylong session attended by members of our large partner ecosystem, which plays a crucial role in our strategy to deliver optimal value to our clients. We featured a discussion between the Microsoft team and Intapp's Chief Product Officer, Thad Jampol on innovation an Intapp's industry cloud strategy, which delivers a path for these firms as they pursue digital transformation. Our discussion underscored the importance of our strategic partnership with Microsoft, which continues to develop and mature. Last quarter, we were officially recognized as a top tier partner of Microsoft, which fewer than 1% of partners ever achieved. Deployment of all our Intapp solutions to Azure is progressing in line with our plan as a key part of our partnership strategy We worked with some of our new partners to advance our industry cloud and innovation roadmap in the quarter. We released our new relationship paths capability, which helps firms source and win new business by leveraging their current network of professional connections, using applied AI to intelligently surface deeper paths to high value contacts. The feature helps professionals in our firms to source potential warm introduction by evaluating our partner Equilar's database of 1.5 million executives and board members. And combine that with the firms own proprietary relationship information. Relationship pads expands our relationship intelligence capabilities to enable higher quality outreach to help professionals builds new and deeper relationships and to drive growth and greater success in winning new business. In the second quarter, we also integrated capabilities from our Billstream acquisition to enhance our Intapp time solution. Together, these solutions help firms integrate compliance across time entry and pre-billing processes in a way that accelerates the work to collect cycle, as well as improving realization rates and driving profitability which offer compelling hard ROI benefits for any firm in the current climate. Our clients who are embracing these operating efficiency features, have also noted that the design of our solutions as an additional benefit of enhancing both the professionals and the clients experience the firm in the smoothness of the billing and collections program. We are also continuing to advance our industry cloud's compliance capabilities, designed specifically for the regulated industry we serve. We further enhanced our market leading walls product to allow for self-service by our professional users. Automated ethical walls and information barriers are critical compliance requirement, designed to protect sensitive client and investor information. Our enhanced lawyer portal for walls ensures that partners, lawyers and associates can process critical ethical barrier requests in real time, removing potential bottlenecks and avoiding slowdowns in client onboarding processes and firm's ability to respond rapidly to their clients requests. Finally, demonstrating our ability not just to design, but to deliver our innovative solutions. In Q2, we went live with a number of large and notable client implementations. We celebrated Go Lives of DealCloud for the asset management arm of one of the world's leading investment banks, as well as a large global financial advisory and asset management firm and go lives of our risk and compliance solutions in our industry cloud for one of the world's top strategy consulting firms Notably, all three of those deals closed just in Q1, demonstrating our ability to shorten our time to value even on large or complex client implementations. Our rapid time to value enables our clients to operate more efficiently in the current climate to manage regulatory compliance quickly and to grow effectively. Our innovation was also recognized with several awards in the quarter. Notably, our DealCloud solution was named as best deal origination technology in Private Equity Wire US Awards in October and DealCloud also won Enterprise Product of the Year for the financial software category at the 2022 Best in Biz Awards in December. Both awards validate DealCloud's ability to support the unique and complex needs of deal makers, helping them effectively and efficiently source and originate deals from any location. Turning now to notable client wins. We continue to add new logos, grow existing client accounts through up-sell and cross-sell and expand our international footprint. I'd like to highlight several of the new logos we acquired in our second quarter. In Q2, we welcomed Global Venture Growth Firm B Capital as a new clients. Founded in 2015 and led by Howard Morgan, Sheila Patel, Eduardo Saverin and Raj Ganguly. B Capital invest as an integrated team across nine locations in the US and Asia. They chose to shift from a legacy system to DealCloud across their deal, IR, operations and business development teams. Because it possesses the robust data infrastructure, IR functionality and reporting capabilities B capital needs to support the long-term growth of their business. European Investment Banking franchise SEB is another new client who selected DealCloud to replace its legacy system. Previously using a large horizontal CRM, SEB struggled from a lack of user adoption of the system, which was a tailored for the way it's professionals work. Additionally that's CRM required a level of IT support that was impacting its ability to support other IT projects and initiatives that could drive growth. SEB chose DealCloud, because of its reputation as the market leader, the way our technology is tailored to the way the firm operates, its flexibility and the fact that it will significantly reduce ongoing IT support requirements. There'll be implementing the software across M&A, leveraged finance and capital markets teams to improve connectivity and collaboration and better leverage data and institutional knowledge. Last quarter, we also continue to expand our footprint in the consulting industry with another new client win. A top global management consulting firm executed a multiyear contract for our risk and compliance solution, which enables the firm to better identify and process complex conflicts for use cases like M&A, bankruptcy, adverse parties or conflicting relationships. While this is a new consulting firm logo for us. It's notable, but many of the firms professionals had previous experience with Intapp at other professional firms, including law firms in the industry. Their familiarity with our brand and their trust in our capabilities, help to speed the deal and illustrates how deal and disputes professionals networks bring us referrals across the vertical industry we serve and supports our continued expansion and logo acquisition throughout this market. Finally I'd like to highlight the recent addition of accounting business and wealth advisors Kreston Reeves to our client portfolio. Based in the UK Kreston adopted Microsoft Office 365 to enable a secure collaborative modern work environment. They quickly realize their needs to extend the platform's capabilities with solutions tailored to their unique needs as an accounting firm. Kreston selected our collaboration and content solutions to help maximize their Microsoft platform investments and to create a collaborative document management solution. To conclude, having reached the halfway point of our fiscal '23, we're pleased with our consistent growth and performance. We are pursuing a deep and unreserved $24 billion global TAM. Our revenue model remains highly predictable and our durable end market continues to demonstrate a strong commitment to investing in digital transformation despite the global economic uncertainty. We continue to add new clients and to grow existing client accounts and we're continuing to pursue the significant growth opportunity ahead to help our industry embraced cloud's transformation. Our purpose-built industry cloud platform has compelling value for our specialized clients, helping them to increase revenues and returns, operate more efficiently and profitably, manage risk and compliance more effectively, and leverage their collective knowledge for growing competitive advantage. As always, I'd like to thank our clients, our partners, our investors, our Board and our employees whose teamwork and dedication led to our strong Q2 performance. Thank you all very much. Okay. Steve, over to you.
Steve Robertson: Thanks, John and thanks everyone for joining us today. As John noted, we had a strong quarter with our cloud ARR up 42% year-over-year and our total ARR up 26% year-over-year. Before I go through our financials, I'd like to quickly review a few fundamentals of revenue recognition in our financial model, just as a reminder. Cloud ARR is recognized as SaaS revenue ratably following a new sale or renewal. On-premises ARR is recognized in two parts, 50% as subscription license revenue recognized upfront at the time of the sale or renewal and 50% as support revenue recognized ratably and included in our SaaS and support revenue line. Because it is recognized ratably, SaaS and support revenue is more predictable quarter-to-quarter. While subscription license revenue can vary based on the timing of revenue recognition. Okay. Moving to our numbers. SaaS and support revenue was $61.6 million, up 31% year-over-year reflecting both new sales to new clients, and upsells and cross sells to existing clients of Intapp's purpose-built cloud solutions. Total revenue was $84.7 million, up 31% year-over-year driven primarily by continued strong sales of our cloud solutions, as well as by solid growth in professional services revenue. Subscription license revenue was $11.0 million compared to $9.3 million in the prior year period, reflecting annual and multi-year renewals inclusive of CPI based price increases. Professional services revenue was $12.1 million as compared to $8.4 million in the prior-year period, reflecting an increased growth rate consistent with our current pace of software implementations. Overall, we continue to execute our land and expand model, ending the quarter with more than 2,200 clients, 561 of which had ARR of more than $100,000 up from 457 in the prior year period. In addition, we upsold and cross-sold our existing clients, such that our trailing 12 months net revenue retention rate was above our projected range of 110% to 114%. We have decided to increase our range to 113% to 117% and this quarter's net revenue retention rate was within that range. Before discussing gross margins, expenses and profitability, please note that I will be discussing non-GAAP results going forward. As a reminder, our GAAP financial results along with a reconciliation between GAAP and non-GAAP results can be found in our earnings press release and its supplemental financial tables. Second quarter results were as follows. Total non-GAAP gross margin was 71.5% as compared to 68.5% in the prior year period, primarily reflecting an increase in our services gross margin and a previously executed organizational realignment of a portion of our client success team from cost of sales to sales and marketing. Non-GAAP operating expenses were $57.7 million, a $13.2 million increase year-over-year as we continued to invest in sales, marketing and product development to support our growth. Non-GAAP sales and marketing expense was $25.7 million, a $7.0 million increase year-over-year as a function of increased headcount and related sales commission to capture new business in our growing markets along with the previously mentioned organizational realignment. Non-GAAP R&D expense was $18.7 million, a $5.6 million increase year-over-year as we increased headcount and made investments in our product roadmap. Non-GAAP G&A expense was $13.2 million, a $0.6 million increase year-over-year as we began to see some leverage and scalability in the business. Non-GAAP operating profit was $2.8 million as compared to our second quarter fiscal 2022 non-GAAP operating loss of $0.2 million, as we continue to generate some modest initial profitability in the business. Non-GAAP net income per fully diluted share was $0.03 in the second quarter of fiscal 2023 as compared to a loss, but rounded to $0.00 in the second quarter of fiscal 2022. In terms of the balance sheet, we ended the quarter with $51.6 million in cash and cash equivalents. Now turning to guidance. For the third quarter of fiscal '23, we expect SaaS and support revenue of between $63 million and $64 million and total revenue in the range of $87 million to $88 million. We expect non-GAAP operating profit in the range of $0.5 million to $1.5 million and non-GAAP per share results in the range of negative $0.01 to positive $0.01 using a fully diluted share count weighted for the quarter of approximately 75 million common shares outstanding. For the full year of fiscal '23, we expect SaaS and support revenue of between $246 million and $250 million and total revenue in the range of $340.5 million to $344.5 million. We also expect non-GAAP operating profit to be in the range of $4.5 million to $8.5 million and non-GAAP net income per share in the range of $0.02 to $0.06 using a fully diluted share count weighted for fiscal year '23 of approximately $73 million common shares outstanding. With that John and I look forward to taking your questions.
Operator: [Operator Instructions] Our first question comes from the line of Koji Ikeda from Bank of America. Your line is open.
Natalie Howe: Hi, this is Natalie Howe for Koji. Thanks for taking my question and great job on the quarter. Last quarter you guys said, you are not seeing a lengthening of sales cycles right now. Is that still the case now and are there any verticals and geographies outperforming and any better feeling the impact of the macro more than others? Thank you.
John Hall: Hi. Natalie. Thanks for your question. So we have not seen a lengthening of sales cycles. We continue to monitor that. We think that our clients are pretty committed to following through on their cloud transformation program and we've been talking to them about that. And that was one of the questions that we were asking at our City Tour event in New York in the winter, what's going on inside your firms and how are things going, and we were very encouraged by the general tone that folks are following through on their cloud transformation initiatives, because they see some real benefit to themselves operationally to better position to weather any kind of economic uncertainty and they see in our platform some real advantages that they can take advantage of its capabilities. So that gave us some confidence. That being said, we're going to continue to watch To your second question about the sub-verticals. There is good strength across the board. We're fortunate to be relatively broad based across the professional financial services industry. The law firms, the accounting firms, the consulting firms, the private capital, private equity firms tend to be very stable. We have said in the past that, it's the investment banks that may see a little bit of variability and we're watching that carefully. At the same time, a lot of them are doing these improvement initiatives to position themselves better. So we're going to continue to monitor that, but overall it's been pretty steady.
Natalie Howe: Thank you. That's it.
John Hall: Thanks.
Operator: [Operator Instructions] Our next question comes from the line of Kevin McVeigh from Credit Suisse. Your line is open.
Kevin McVeigh: Great. Thanks so much and really, really terrific results all around. I don't know if this would be for John, Steve or David, but really happy to see increase the bands on the NRR. Maybe just aggregate the components and kind of what gives you the confidence to do it now?
Steve Robertson: Sure. Kevin. We've been seeing good performance better than we had forecasted for a few quarters in a row, it looks like this has settled into a pattern that we can count on and we just thought, this is a good time to raise it up and reflect sort of a new range that we expect we will be in here. It's pretty balanced. It is both cross-sell and up-sell and both professional services and financial services. So we really are kind of hitting on all cylinders in the sense of selling to our existing clients as part of our land expand strategy. So it's really working well and as you can see, we continue to add a lot of new logos every quarter too. So that's really -- it is pretty straightforward, we probably indicated in the past you and might be thinking about something like this, we decided to go ahead and do it.
Kevin McVeigh: It's a great outcome. And then you're obviously seeing, it feels like a structural change in kind of the average client size. If you think about that in excess of 100,000. Are those --- is there any way to frame-up? Steve, how much of that is new logos as opposed to maybe existing clients being pulled off from additional modules, maybe qualify that?
Steve Robertson: Well, I'll observed something that someone point out to me to add the day, which is, our client -- our new client logo rate looks like it's growing on the order of 10%. We give a rounded number there, but the 100K clients are going at 20% and it's -- because it's a combination of new logos that land north of 100,000 in any quarter and then upsells from previous land and expand clients that might have started below 100,000. So we get the benefit of both in that number in the starting phase.
Kevin McVeigh: Really, really nice outcome. Thank you.
Steve Robertson: Thanks.
Operator: [Operator Instructions] Our next question comes from the line of Terry Tillman from Truist. Your line is open.
Terry Tillman: Yes. Hi, good afternoon gentlemen. Hopefully you can hear me okay and I'll like to congratulations on the quarter and the outlook. I have two questions. The first one might be a little bit multi-part, but it -- seems like it's pretty important, so I wanted to kind of delve into that a little bit more detail, but Microsoft. But I'm curious is, where are you in terms of the cycle of them starting to work well with you all? And that seems kind of collaborating and starting, where are they in terms of influencing business for you? The second part of that is, I think you mentioned earlier, a customer that was rolling out Microsoft teams and it sounded almost like you all were brought in. Do you see more dynamism around -- helping you into new logos or equally installed base? Is there any one kind of go to market that seems more intriguing? And then I had a follow-up
John Hall: Thanks, Terry. The Microsoft relationship is going well. We have a multi-track plan that we put in place with them jointly when we started the partnership just over a year ago and we've begun collaborating on the technology side, on the cloud side and in our go-to-market. There are relationships from each of those organizations inside our company with different parts of the Microsoft team. To your question about go to market, they absolutely are collaborating with us in the field. We're very excited about that and vice versa, because we have a position in the professional financial services industry, with an industry cloud, value proposition that augments the whole Microsoft Office 365, Teams, Azure capabilities in a way that makes it more specific for this end market that historically has been very Microsoft friendly, but has had to do a lot of work to try to adjust the Microsoft platform to really work for the way that the partnership based firms operate and we're able to solve that problem. So the Microsoft field reps are excited to have us come in and we're bringing our team together with them that many accounts. They've introduced us in places to your question. And we've also brought them in for an opportunity for them to expand their Azure footprint for example at some of the firms. So it's a good collaboration going there. And as to new logos or installed base. It's both. And we've had good successes in some of the stories that I was telling in the overview, where they worked with us both to win new business and also to help us grow some of the accounts that we have with new capabilities.
Terry Tillman: That's great to hear. And I guess a follow-up question. We get the question a fair amount in terms of just the ongoing kind of cloud transformation in your own business, that sounds positive in terms of clients seem like they're still wanting to move forward with their digital transformation initiatives. But what about in terms of some of your larger customers that still may be on-prem. How are you thinking about over the next couple of years in terms of a greater propensity to move to cloud, because what I'm getting is, 64% of the total ARRs cloud? Just trying to get a sense on how that should kind of evolve over the next couple of years towards cloud? Thank you.
Steve Robertson: Sure, I'll take that one Terry. Well, first of all, as we may have said before, 64% of our cloud ARR more than that -- more than 80% of our customers have at least one product in the cloud. So, we have hybrid customers that are on their way to making the migration as you described. And for some of our larger customers, what we've been doing and seeing mostly recently is, when some of those clients are ready to buy or implement some new capability that's often a time to sign up a full our cloud migration for whatever they still have on-premises and might want to fully meet the cloud. So it's an ongoing sort of organic assessment as we go along, but we continue to sign up and sell migrations continuously each quarter and I think our progress is steady towards getting to the cloud for the whole client base.
Terry Tillman: Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Brian Schwartz from Oppenheimer. Your line is open.
Brian Schwartz: Yes. Hi, John and Steve, thanks for taking my questions this afternoon, and congratulations on really strong quarter. John, I had a question about the up-selling activity in the NRR. I actually -- my question is around the cadence of when those opportunities are coming. Are you seeing any speeding up at all in the cadence when customers are coming back to you to make additional purchases from that original purchase?
John Hall: Hi, Brian. Thanks for the question. Yes, I think the cloud program has put us in a position to help people get up and running faster if they want to bring up additional modules in the cloud. We've always had good upsell and cross-sell from our clients, whether it was in the on-prem generation or cloud, but we are encouraged about the opportunity to help people once they've got the industry cloud running to help them adapt more capabilities quickly and that's one of the many reasons that the model is a good model and we're excited about the evolution there.
Brian Schwartz: Thanks, John. And then one question Steve for you. Just a question around the assumptions for the macro in your outlook. Is your expectation in the guidance that the strength of the business is seeing and the steady demand in the macro that persist throughout the year or are you discounting at all the macro in the updated guidance that you gave us today? Thanks, Steve.
Steve Robertson: Well, I think the way I would respond to that Brian is, I think that we are always a little bit careful. I mean we have -- we certainly have, as John has said and we said, pretty strong pipeline, the business is good and the tone of that is the same as it's been last quarter for us, if you will. We continue to monitor it though and none of us know for sure. So we're being careful about that, but there is no particular shift in the way we are modeling our thinking going forward in terms of the macro right now. We're just watching carefully.
Brian Schwartz: Thank you very much.
Operator: [Operator Instructions] Our next question comes from the line of Alex Sklar from Raymond James. Your line is open.
Alex Sklar: Thanks. John, I want to follow-up on your remarks around the Billstream enhancements and the harder ROI benefits there. Is where you're landing with new customers or where you're telling your sales force to focus on from a value proposition perspective changing at all in the current environment? Any additional pressure to be selling on that part ROI?
John Hall: Hi Alex. Thank you. It's interesting, the platform has a range of value propositions from helping with origination and sourcing and sourcing origination and winning new business, two, efficiency and profitability to compliance and to knowledge and competitive advantage. And firms are in different places in their own strategy and operations and market position and what they're looking to do. So the team is very skilled now at listening carefully to each client and making sure we understand what their strategic and operational and compliance goals are and positioning the offering in our story, the way that really helps the firms achieve, what's important to them at the time. I do think that in the current environment, there is a higher proportion of firms who are looking at operating efficiencies and hard ROI, but not exclusively. There are firms who are focused on the compliance story, their firms who are focused on positioning themselves for growth and having the right kind of experience for their professionals and for their clients. And part of the differentiation of Intapp's overall platform is that, we can bring that richness and potential to the firms and it's going to grow with them as their strategy evolves, and that's one of the things folks really like about it. And that they struggled in the past with traditional CRM and ERP is to get that kind of flexibility and support for what they're trying to do today and they can get it with us. So it's been a good broad strategic story because of that broad potential and then we get very specific in each client case to drive the deals.
Alex Sklar: Okay. Great. That's super helpful context. And then, Steve, on the profitability outlook quite a bit higher than where we started the year. Can you just talk about the drivers of that upside and any changes in your overall thoughts on hiring plans for the year was a couple of quarters ago?
Steve Robertson: Yes. Sure. No, we, I mean, part of this certainly we're having good revenue performance and that -- some of that, of course, drops to the bottom line. And -- but no, we are continuing to hire, we're seeing good growth. We want to get ahead of that and capture, we've said this for a couple of quarters now, it remains true. Having said that, we -- also we are starting to see a little bit of leverage here from the business and I think we expect to sort of steadily do better over time in our operating profit line, that's certainly something we're looking at here now. So we're planning for next year now, and the future. But no, we are hiring where it makes sense and getting ahead of our growth opportunities, so we can capture.
Alex Sklar: All right. Great. Thank you.
Operator: One moment for next question. Our next question comes from the line of Parker Lane from Stifel. Your line is open.
Matthew Kikkert: This is Matthew Kikkert for Parker. Thanks for taking my questions and congratulations on the quarter. Customer expansion have been a key part of your growth strategy. I want to ask about the top of funnel demand that you're seeing recently. Has there been any change there over the last quarter? And do you have any planned incremental investments in 2023 to address that top of the funnel demand?
Steve Robertson: Look, top of the funnel, the whole pipeline remains strong. We are continuing to invest there steadily, I think, because as I said, we want to capture growth. So, no particular change in our investment orientation towards the opportunity we're seeing in terms of sales in the marketplace right now.
Matthew Kikkert: Okay. That's all from me. Thank you very much.
Steve Robertson: You bet. Thank you.
Operator: Thank you. One moment for next question. Our next question comes from the line of Arvind Ramnani from Piper Sandler. Your line is open.
Arvind Ramnani: Hi. Thanks for taking my question. I want to ask about your -- when you sign up a new clients, what is like timeframe and I'm sure it varies client by client and how complex environment is, but if you can help frame for typical client, but maybe just provide a range for -- when they sign up with Intapp or they put it -- implement and what does that timeframe and when do they start to sort of realize some of the benefits of your platform?
John Hall: Hi Arvind. Thank you. So generally speaking, it's six months to nine months on our mid-size and larger clients. We can do implementations and get clients up and running in 30 days, we've done that in certain situations. The smaller firms have an easier time doing that. And for the very largest enterprise global class firms that can take a year. But a lot of it too is, how focus is the IT group on their side to get us up and running. So usually we're doing things in about six months, maybe nine months if you wanted to total average.
Arvind Ramnani: Perfect. And then in terms of like growth kind of expansion at existing clients, are you to kind of provide some sort of wafer to think like once you sign up a client, the initial six months or 1 year, is X dollars in revenue. But once they stay with you for three years, does revenue typically go up 2x, 3x, like what type of expansion are you seeing in the in the sort of medium term after someone signs up with you?
Steve Robertson: Yes Arvind. This is Steve, I'll take that. We don't track it exactly that way, but we do -- we certainly look at how we progressed after we land. As I think we said in the past, our penetration is actually quite low on an average basis across our client base, some clients are certainly have the whole platform and are fully penetrated, others have just gotten started. As John said, as you can appreciate it if an implementation is six to nine months, it might be the next year. So we're ready to come back and sell and implement the next set of capabilities. Sometimes that happens quicker, sometimes it doesn't. So we don't have exactly the answer to your question, but I think you can see from our NRR rates which we're raising our range here and we're seeing strong performance. We are definitely selling strongly to existing clients in both cross-sell product opportunities and upsell new users. So it's a strong momentum and will continue to be so we think.
Arvind Ramnani: Terrific. And just to clarify, like in terms of like your revenue build. I think what I heard on today's call is. I mean clearly clients who had started six months or nine months ago, those are continuing, but as far as like in new project starts and new logos and pipeline, those are just as strong as they have been in the last 12 months. I just want to confirm that.
Steve Robertson: Yes. I think, we've added 50 or so plus net new customers every quarter for several quarters now. So it's been steady that way.
Arvind Ramnani: Terrific. Thank you very much.
Steve Robertson: You bet. Thank you.
Operator: Thank you. And I'm not showing any further questions in the queue, I'd like to turn the call back over to John for any closing remarks.
John Hall: Okay. Thanks everyone for joining us today. We'll look forward to talking with you all again at our third quarter release in May. Thanks again. Have a good day.
Operator: And this concludes today's conference call. Thank you for participating. You may now disconnect. Everyone have a great day.